Operator: Greetings. Welcome to the Atlanta Braves Holdings, Inc. Fourth Quarter and Year End 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. As a reminder, this call is being recorded. At this time, I would like to turn the call over to Cameron Rudd, Vice President of Investor Relations. Before we begin, we would like to remind everyone that on today’s call,
Cameron Rudd: management’s prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today, including those set forth in the risk factors section of our annual and quarterly reports filed with the SEC. Forward-looking statements are based on current expectations, assumptions, and beliefs, as well as information available to us at this time, and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA. The full definition of non-GAAP financial measures and reconciliations to the comparable GAAP financial measures are contained in the Form 10-Ks and earnings press release available on the company’s website. Now I would like to turn the call over to Terence McGuirk, Chairman, President, and CEO of Atlanta Braves Holdings, Inc.
Terence McGuirk: Welcome, everyone, and thank you for joining our fourth quarter and year end 2025 call today. With spring training underway, we are energized about the year ahead. I have been to our North Port, Florida spring training facility over the past two weeks, and I am pleased with the progress of the team and the pieces we have in place. Walt Weiss, our new manager, is working hard and building team momentum as we look toward opening day. We believe we are well positioned with a strong team and the organizational depth to be competitive this season. We continue to focus on improving our team with the ultimate goal of competing and winning another World Series for our fans. As I stated on our last call, we are driven to return to our long tradition of winning and championships, and Alex Anthopoulos, our President of Baseball Operations, has done an excellent job navigating this offseason and adding some key free agents to the team. To that end, we are excited about the addition of Robert Suarez, who was just named by ESPN as the number one reliever in baseball and will form one of the best back ends of a bullpen in the Majors when paired with Raisel Iglesias. We also have Jorge Mateo and Mauricio Dubon, who both can play anywhere on the diamond and will be anchoring the shortstop position until mid-May when Gold Glover and newly signed Ha-Seong Kim returns from a finger injury. Dubon has also won a Gold Glove as a utility infielder in two of the last three seasons. We were also pleased to strengthen our formidable bullpen with the signings of Tyler Kinley and Joel Payamps. We are adding these talented players to an already elite roster that includes reigning National League Rookie of the Year, Drake Baldwin, reigning Gold Glove winner, Matt Olson, former National League MVP, Ronald Acuña Jr., and former Cy Young winner Chris Sale, who we signed to an extension earlier this week, along with the standout players and fan favorites Austin Riley, Spencer Strider, and many, many more. Also, catcher Sean Murphy is recovering nicely from hip surgery last September and is making great strides toward rejoining the team in the early part of the season. We firmly believe we have all the pieces we need to make a postseason run this year and compete for a World Series title. We are not alone in that belief. FanGraphs picked us to compete for a World Series title and named us the number two preseason team in the entire Majors in their power rankings just behind the Dodgers. Now let me address one more important issue that emerged as we started this year: local media broadcasts. As you all know, the industry has been working through the ongoing saga of the decline of Main Street sports. With Main Street out of the way, the Braves now have our local TV rights back, and instead of going through a third-party regional sports network to monetize these rights, we will be stepping into the Main Street role and directly handling the distribution, production, and revenue generation of the full season of games ourselves. We are fortunate to have much of this expertise in-house at the Braves and are confident that we will be able to produce, distribute, and deliver our games and additional Braves content in a way that is compelling and serves our fans very well. We have one of the largest television territories in baseball, spanning multiple states, which affords us the opportunity to optimize our financial outcome, a factor that provides us an advantage that no other Main Street team has. Our goal is to be sure that every fan who wants to watch an Atlanta Braves game can do so. The demand for our product remains incredibly high, which makes the job of reengineering the distribution system much easier. Yesterday, we announced the launch of our new distribution and streaming platform, PraiseVision, introducing our fans to the new platform for Praise broadcasts. Before I turn the call over to Derek, I would like to thank our fans, our team, the entire organization for their continued support and efforts, and recognize that it is through hard work and dedication that we continue to be one of the elite franchises in all of Major League Baseball and across all professional sports. With that, I will turn it over to Derek to walk through our operating performance, ticketing trends, and outlook, including more detail on the local media rights topic.
Derek G. Schiller: Thank you, Terry, and good morning, everyone. I will start with one of our most pressing topics as we head into the final weeks before the start of the regular season. For our organization, our priority throughout the whole process around media rights has been clear. We wanted to maximize reach and availability for fans while protecting our economics given the popularity and value of our team. As Terry mentioned, we are excited to launch Brave Vision, a multimedia platform owned and operated by the team, which will serve as the official home of our local television broadcast beginning this season. In bringing our broadcast back under control, our initial focus in 2026 will be our pregame show, our in-game presentation, and postgame content. Importantly, we will maintain full creative oversight of the production as well as the sales, marketing, and distribution of the venture. We have an experienced team that is talented and motivated, so we are confident in our ability to deliver for our fans and excited to see what our operating team can do. Ray’s vision will allow fans to watch us on multiple platforms, including many of the same television providers where fans are used to watching our games, with all games available on a streaming platform in partnership with MLB. Importantly, Gray Media will remain our partner. Starting already with spring training, Gray Media will broadcast 15 spring training games, a 50% increase after the successful partnership last year. In addition, Gray will partner with Gray Media to simulcast a selection of regular season games alongside Braves Vision. These free over-the-air telecasts will be available on Peachtree TV’s Atlanta CW and Peachtree Sports Network in Atlanta and throughout the Southeast through Gray’s network of broadcast stations. This broadcast partnership highlights the Braves’ commitment to engaging fans across Braves Country. In addition to local Braves television broadcasts, the team will appear in nationally televised games this season with various MLB broadcast partners, including Fox, FS1, ESPN, TBS, NBC, Peacock, and Apple TV. As we have said in the past, there is tremendous value in our expansive fan base, and serving our fans is our top priority. We believe this is also in the best long-term interest of our team and our shareholders. With this resolution in place, our focus now shifts to execution, optimizing outcomes across subscriber reach, distribution, advertising, and streaming options while continuing to ensure fan access. I would like to turn now to last season and what we are taking from it as we head into the new year. Despite the season on the field in 2025, we delivered record-breaking regular season ticket sales and sponsorship revenue, underscoring the enduring strength of the Braves brand and the unwavering passion of our fans and partners. We also sold the fourth-highest number of tickets in the past 25 years, which reinforces the tremendous loyalty we have from our Braves Country fan base. Heading into the 2026 season, we are encouraged by strong ticket demand, having already sold more than 1,900,000 tickets across seasons, groups, hospitality packages, and single-game inventory. Our premium clubs continue to be sold out, and there is a robust waitlist on all season product offerings, exemplifying one of the most sought-after season ticket memberships in MLB. Within ticketing, we have also been able to optimize our process through a combination of pricing strategy, product segmentation, and improved inventory management. We are continuing to invest in ticketing analytics so we can better measure demand elasticity by game, opponent, day of week, and seating category. That work is already improving marketing efficiency and conversion, helping us put the right offer in front of the right fan at the right time. Importantly, it also supports our premium and group strategy, which we view as meaningful levers for revenue quality. Looking ahead, we are focused on improving our on-field competitiveness while also building momentum in The Battery Atlanta as a multiuse destination that drives year-round engagement and revenue. We see our business and baseball strategies as aligned. A competitive team supports demand, and our broader development platform supports durability across cycles. The Battery also continues to perform as a multiuse destination, and our strategy centered on diversifying demand drivers and broadening our calendar to increase repeat business visitation is working. With over 380 total events and concerts held in 2025, we reinforced The Battery Atlanta and Truist Park as a premier destination in the Southeast even outside of the Braves’ home schedule. Of these 380, we hosted 144 events across the common areas of our campus, held 147 events at the Coca-Cola Roxy, and added another 95 game day and Truist Park events. This breadth of year-round events is another shining example of why we believe we operate with the most unique partnerships in professional sports. To that point, we continue to expand our non-game day schedule of events throughout the season. As an example, after a successful two-game series last year, we are excited to host the Savannah Bananas for three games this year, further expanding this unique experience at our ballpark. We also recently announced that we will be hosting Braves Country Fest on June 13 in partnership with Live Nation. This features performances by Cody Johnson, Bella Langley, Ernest, and Mackenzie Carpenter, among others. And in addition, Noah Kahan will be performing at Truist Park on July 27. These examples and more reiterate our ability to attract top-tier events to our ballpark and campus throughout the year, and we look forward to continuing our positive momentum with additional concerts, community events, and other activations. Looking forward to 2026, we are confident in our ability to deliver to our fans across Atlanta and across the entire Southeast. We continue to focus on improving our fan experience at the ballpark as well as the overall experience across our campus. The launch of Brave Vision is something that we believe will be a defining moment for our franchise and our fans. Our expansive television market territory is one of the largest in professional sports and gives our team options that few others do. With our media rights resolved ahead of the season, we are excited about the future this brings and focusing on creating the best possible product. With that, I will turn it over to Mike to provide updates on The Battery and our real estate strategy.
Mike: Thank you, Derek, and good morning, everyone. Let me start by reinforcing Derek’s comments on our real estate strategy. We continue to view The Battery as a long-term platform that diversifies our business, broadens our audience, and supports durable growth over time. In 2025, we welcomed nearly 9,000,000 visitors to The Battery, mostly in line with our levels from 2024, even as baseball attendance was softer last season. For us, that is a strong indicator that our awareness is increasing given all the events we have hosted and other offerings we have added around The Battery, and that the destination value proposition is resonating beyond game days. From a tenant perspective in The Battery, 2025 was a record year. Our tenants collectively achieved a new annual sales milestone of approximately $137,000,000 across just 30 doors, which we believe ranks among the most successful mixed-use operations in the country. We also continue to strengthen our tenant lineup with the openings of the new Truist Securities building, Walk-On’s Sports Bistreaux, and Shake Shack, among others. We are excited about J. Alexander’s joining The Battery in 2026. From a portfolio standpoint, PennantPark was a key contributor this year. We successfully acquired and closed the property and ended the year at approximately 90% occupancy, an impressive increase from the low 80% range at closing in April. In the fourth quarter alone, we closed just under 50,000 square feet of new deals and have a very strong tenant pipeline into 2026. Across The Battery more broadly, we had a strong year of continued transformation, including meaningful capital investments aimed at improving the guest experience and long-term functionality of the campus. The pedestrian bridge connecting The Henry project to The Battery is nearing completion, which will further enhance connectivity, expand our parking operations, and improve overall flow throughout our growing footprint. We are still opportunistic as we evaluate future transactions and believe our record speaks for itself as we look to optimize the portfolio over time. Importantly, we continue to command rent premiums across our retail, office, and hotel assets with rates above market supported by demand, engagement, and performance. Tenant engagement also remained strong. We continue to secure early lease extensions and receive daily inbound interest from prospective tenants, which gives us confidence in the depth and quality of our pipeline. From a financial standpoint, I am pleased to report that mixed-use development revenue continues to perform well and represented approximately 13% of the company’s total revenue in 2025. We are currently generating over $100,000,000 in revenue on an annualized basis as our mixed-use development revenue continues to expand its role as a meaningful contributor to our team and franchise value. With that, I will now turn over the call to Jill to walk through our financials in detail.
Jill L. Robinson: Thanks, Mike. Before I begin, I want to remind everyone that a majority of our revenue is seasonal and is aligned to the baseball season. Our final 2025 home game was in the third quarter. We are pleased to report that 2025 was a strong financial year for our organization. Total revenue in 2025 was $732,000,000. This is an increase of nearly $70,000,000 from $663,000,000 in 2024. As a reminder, the company manages its business based on the following reportable segments: baseball and mixed-use development. Baseball revenue was $635,000,000 in 2025, up from $595,000,000 in 2024. This revenue increase was driven by a combination of increased event, broadcasting, and other revenue. Baseball event revenue was $358,000,000 in 2025, up from $348,000,000 in 2024, primarily due to contractual rate increases on season tickets and existing sponsorship contracts, as well as new premium seating and sponsorship agreements, offset by attendance-related reductions in revenue. Broadcasting revenue, which includes national and regional revenue, was $189,000,000 in 2025, up from $166,000,000 in 2024. Other revenue was up by $8,000,000 to $42,000,000 in 2025 compared to $34,000,000 in 2024, primarily due to events held at Truist Park, including two Savannah Bananas games. Next, our mixed-use development revenue was $97,000,000 in 2025, a $30,000,000 increase from $67,000,000 in 2024. This was primarily driven by a $27,000,000 increase in rental income due to new lease commencements and in-place leases acquired with PennantPark and, to a lesser extent, sponsorship and parking revenue. Adjusted OIBDA was $108,000,000 in 2025, an increase of nearly $70,000,000 from $40,000,000 in 2024. This improvement was driven by an increase of $44,000,000 in baseball OIBDA and an increase of $23,000,000 in mixed-use development adjusted OIBDA due mainly to the increases in revenue in both segments and reduced baseball operating costs. Mixed-use development adjusted OIBDA serves as a proxy for net operating income. Additionally, we have invested in two Battery hotel properties as 50% joint ventures, which are accounted for as equity method investments. Our share of earnings in these investments is not included in mixed-use development adjusted OIBDA but still represents an important part of our operations. Our operating loss was $14,000,000 in 2025 compared to a loss of $40,000,000 in 2024. This improvement was primarily due to increased revenue, partially offset by a $30,000,000 noncash impairment expense associated with the termination of the long-term local broadcast agreement and increased depreciation and amortization. As of 12/31/2025, the company had $100,000,000 of cash and cash equivalents. Nearly all of our cash and cash equivalents are invested in U.S. Treasury securities, other government securities or government-guaranteed funds, AAA-rated money market funds, and other highly rated financial and corporate debt instruments. And with that, Operator, let us open the line for questions.
Operator: Thank you. We will now begin the question and answer session. Your first question today comes from the line of David Joyce from Seaport Research Partners. Your line is open.
David Carl Joyce: Thank you. Congratulations on standing up Brave’s vision. I was wondering what sort of OpEx or CapEx was reflected in your financials for getting that up and running, or is it more going to be reflected here in the first quarter? And then secondly, if you could remind us, please, on the blackout rules for the local TV. It is TV and streaming opportunities. I know that your press release mentioned that there were some no-blackout issues, but just remind us of that, please. Thanks.
Jill L. Robinson: Hi, David. This is Jill. In response to your first question about OpEx and CapEx for the broadcasting business, historically, we have not shared information at that level in our financial statements. We do share with you broadcast revenue, so I really cannot speak to that at this time. Looking forward, as we launch Bravevision, you should expect to see more detail about the financial results of this new operation starting in Q2.
Derek G. Schiller: Yeah. And I will take the second one. It is Derek. The blackout rules and the way that we reference them really pertain primarily to the streaming platform. So as we launch brave.tv, which is in partnership with Major League Baseball, in effect if you are a subscriber of graves.tv, you can watch anywhere inside of the territory as part of our local broadcast opportunities. And should you leave the home television territory outside of the Southeast or five, six state area, so long as you are a braves.tv subscriber, you will be able to watch the Braves games wherever you travel inside of the United States. If you are an MLB.tv subscriber, so you have an out-of-market package, you can watch both inside and outside the territory, which is why we referenced the blackout restrictions the way that we did.
David Carl Joyce: Appreciate it. Thanks. And if I could kind of follow on to the media rights aspect, obviously, with the CBA coming up later this year and other leagues looking to redo their national rights deals, what are updated thoughts on how things are evolving? What is the probability that Major League Baseball would want to perhaps negotiate back these local media rights from you later on? They are handling a number of other teams. Thanks.
Terence McGuirk: Hi. This is Terry responding. As you know, our next national media opportunity is 01/01/1929. That will be the next time all of our national rights come up. Rob Manfred, the Commissioner, has been quoted, I think, in saying that if, you know, our best, our best opportunity to possible best opportunity would be to aggregate all of our rights like the NBA, like the NFL, like hockey, and that is still a strategy that is not clear yet as to how we will play that. But the Commissioner will be leading that negotiation in that strategy discussion among the owners. And we will surely keep our shareholders and our analysts up to speed when that happens.
Operator: Next question comes from the line of Barton Crockett from Rosenblatt Securities. Your line is open.
Barton Evans Crockett: Okay. Great. Thanks for taking the question. Let me see. One of the things that I, you know, just stepping back, I am just kind of curious about in terms of the financial cash flow profile of the Braves this year versus years past. You know, in this year, you just reported, you know, the free cash flow was, I guess, a negative $25,000,000 or so if I have got that right. And, you know, when you look ahead to 2026, you know, there is $100,000,000-ish or so of local broadcast revenue that might, you know, be somewhat less as you go through this transition, maybe, maybe not. And then you have got some incremental tax impacts that could be coming up from the tax laws that, you know, limit kind of deductibility of salaries to high-paid employees like, you know, your star baseball players. And so I am just wondering if you could talk a little bit about how you see free cash flow trending going forward and if there is a deficit, how you see kind of financing that? And, you know, given your position as kind of a public company versus others, you know, where you have got the pockets of billionaires to kind of finance it, you know, does this put any pressure on you guys competitively, do you think?
Jill L. Robinson: Yep. Thanks for the question. As we think about cash flows, we do tend to think about this in terms of our two businesses: baseball and the real estate business. On the baseball side, what we have said on a few occasions is that our goal is always to reinvest the profit from our team performance and from the operations of baseball into the team. We believe the team is the biggest asset we have that can drive top-line growth for the company, and that is generally what our focus is. Now that said, over the past couple of years, we have launched a master planning project across the stadium where we are adding increased offerings to the stadium, specifically in premium areas and other hospitality areas. We believe those things are already driving great returns and paying dividends for us. On the baseball side, we think of things a little bit differently as we are continuously evaluating opportunistic investments in real estate that we can add to our portfolio, similar to what we did last year on PennantPark. Now as you look forward, I think without disclosing too much here, you may see a difference in how the cash flow comes in with us running the business now as opposed to outsourcing the media business to FanDuel. Like I said earlier, you will begin to see a little bit more of how that plays out when the business really begins to operate in Q2.
Barton Evans Crockett: Okay. But, you know, I guess I will leave some of that aside. Maybe just one more kind of detailed question. You know, I think there has been some discussion about the changes in tax laws around deductibility of high-salary kind of employees, and, you know, that being a new kind of tax impact for maybe a publicly traded sports franchise like the Braves that the private-owned franchises do not face? I was wondering if you could talk about the materiality of that for you guys and, you know, given that there is at least, you know, maybe another corporate enterprise out there that has some teams that is publicly traded, is there any possibility for you guys to get together with others to lobby for that law to be treating both private and public ownership more fairly?
Derek G. Schiller: Burton, it is Derek. I will jump in on this one. You know, we are obviously aware of the 162(m) issue that you are referencing. We have looked into it. We understand, you know, what is out there, and we are working on that. I do not think it is appropriate at this point in time to comment on that, because we are still in the midst of those discussions and what we are trying to do with that. But certainly, certainly aware of what is out there and what we need to do to try to figure that out.
Barton Evans Crockett: Okay. Alright. Well, I appreciate the answers. Thank you.
Operator: And at this time, there are no more questions in queue. I will now turn the call back to management for closing remarks.
Derek G. Schiller: So I will close it out. It is Derek. On behalf of the entire management team, I want to thank everybody for participating in today’s call, and we look forward to seeing you and hearing from you again soon. We are 30 days from opening day. Hope you are all paying attention. We are excited to get the season started and look forward to seeing you on March 27 for our opener.
Operator: Bye-bye. This concludes today’s conference call. Thank you for your participation. You may now disconnect.